Operator: Excuse me, everyone. We now have Sean Reilly and Jay Johnson in conference. [Operator Instructions] In the course of this discussion, Lamar may make forward-looking statements regarding the company, including statements about its future financial performance, strategic goals, plans and objectives, including with respect to the amount and timing of any distributions to stockholders and the impacts and effects of general economic conditions, including inflationary pressures on the company's business, financial condition and results of operations. All forward-looking statements involve risks, uncertainties and contingencies, many of which are beyond Lamar's control, which may cause actual results to differ materially from anticipated results. Lamar has identified important factors that could cause actual results to differ materially from those discussed in this call in the company's fourth quarter 2024 earnings release and its most recent annual report on Form 10-K. Lamar refers you to those documents. Lamar's fourth quarter 2024 earnings release, which contains information required by Regulation G regarding certain non-GAAP financial measures was furnished to the SEC on a Form 8-K this morning and is available on the Investors section of Lamar's website, www.lamar.com. I would now like to turn the conference over to Mr. Sean Reilly. Please go ahead, sir.
Sean Reilly: Thank you, Bo. Good morning, and welcome to Lamar's Q4 2024 Earnings Call. We ended 2024 on a positive note. Revenue growth accelerated from Q3, aided by political with local and programmatic again, leading the way. For the quarter, revenue was up 4.1% on an acquisition-adjusted basis compared to Q4 of 2023, with increases across all our lines of business, outdoor, logos, transit and airport. EBITDA grew 3.9% on the same acquisition-adjusted basis. As a result, we delivered full year AFFO of $7.99 per share $0.04 above the top end of the revised guidance range that we provided at the end of Q3 and $0.17 above the top end of our original guidance for 2024. For the full year, AFFO per share increased 7% and bolstered by acquisition-adjusted revenue growth of 4.2%, EBITDA growth of 4.5% and a slight improvement in our EBITDA margin to 46.8%, all of which allowed us to increase our distribution by 13%. As we think about 2025, we anticipate another year of growth. Local sales remain solid, and it feels like [national] is firming up after a couple of tough years. As you saw in the release, we are guiding to full year AFFO per share in the range of $8.13 to $8.28. Embedded within that guidance is an expectation for acquisition adjusted revenue growth in the range of 3%, with a similar percentage increase in operating expenses. Year-over-year revenue growth will be more modest in the first quarter. Recall that we had an extra sales day last year due to the leap year, but our pacing show that growth is picking up as the year unfolds, and last night, we announced another significant increase in our dividend for 2025 to a run rate of $6.20 per share. Back to Q4. In addition to political, categories of strength included service, Buildings & Constructions and government and nonprofits, while health care and insurance were weaker. For the billboard business, both local and national/programmatic grew 3.5% for the quarter. Digital, of course, led the way in Q4, increasing nearly 8% versus the year earlier quarter including a 3.7% same-store growth with particular strength in programmatic, which was up nearly $3 million or 30%. That same-store growth, the best of any quarter in 2024 gives us confidence that it is the right decision to reaccelerate our rollout of new units -- new digital units in 2025 with the goal of deploying at least 350 new displays organically. We will, of course, also add digital displays through M&A as well in 2025. As you know, the market was relatively quiet in 2024, and we tempered our own activity as we focused on further improving our already strong balance sheet. We ultimately spent about $45 million in acquisitions in 2024. We anticipate a more active year in 2025. If I had to call it now, I would say count on about $150 million in deals that it could be even more than that. Now we're more accustomed to being a buyer, not a seller in the M&A world. But as noted in the release, earlier this year, we divested our 20% interest in Vistar Media, the leading programmatic platform for out-of-home. We sold to T-Mobile as part of their acquisition of all of this star. It was a resoundingly successful investment for Lamar. We paid $30 million in 2021 for our 20% stake, and we received $115 million from T-Mobile earlier this month with $15 million more due once escrows are released. I want to come in [Ross Riley], who led the Vistar investment for us. Jay will have more to say about our plans for the Vistar proceeds but I want to note that the decision by T-Mobile, 1 of the best known consumer brands and most sophisticated marketers around to acquire Vistar is a testament to their faith in out-of-home is the powerful communications medium with a promising future. We are confident that they can utilize their data and market insights to take Vistar and programmatic out of home to new heights. Finally, before I turn it over to Jay, I want to thank everyone across Lamar land for their hard work and dedication in 2024. I can't say it enough. We have the best team in out-of-home, and I can't wait to see what more we will be able to accomplish together in 2025. Jay?
Jay Johnson: Thanks, Sean. I couldn't agree with you more. Good morning, everyone, and thank you for joining us. We had a solid fourth quarter and are pleased with our results, which exceeded internal expectations across revenue, adjusted EBITDA and AFFO. Growth in AFFO continued in the fourth quarter. Diluted AFFO per share increased 5.2% to $2.21 versus $2.10 in the fourth quarter of 2023. In addition, the company ended the year above the high end of our revised AFFO outlook, which we increased following both the first and third quarters last year. Despite growth in operating expenses, adjusted EBITDA margin for the quarter held strong at 48.1% and continues to exceed pre-COVID levels. Adjusted EBITDA for the quarter was $278.5 million, compared to $268.2 million in 2023, which was an increase of 3.9%. Free cash flow also improved in the quarter, growing 8.5% over Q4 2023. In the quarter, depreciation and amortization expense increased $164.9 million, growing over 230%. This was primarily due to a revision in the cost estimate included in calculation of the company's asset retirement obligations, ARO. ARO accounts for Lamar's obligation to dismantle and remove over 71,000 billboard structures on lease plan and restore the sites to original condition. We test our ARO estimate annually and the cost to retire these assets has risen substantially, which led to an increase in our depreciation and amortization expense during the quarter. However, the expense is a noncash item and does not impact the company's adjusted EBITDA or AFFO. For the full year, acquisition-adjusted revenue increased 4.2% to $2.21 billion compared to $2.11 billion the prior year. Operating expenses grew approximately 4% against a difficult 2023 comparison in which acquisition-adjusted expenses increased only 1%. Adjusted EBITDA was $1.03 billion, which represents an increase of 4.5% on an acquisition-adjusted basis. Adjusted EBITDA margin was 46.8% for the full year, expanding 10 basis points versus a year ago. We were pleased to see margin hold steady given upward pressure on the expense side. The company ended 2024 with full year diluted AFFO of $7.99 per share, which was above the top end of our revised guidance. For the 12 months ended December 31, diluted AFFO per share increased 7% and compared to full year 2023. The acceleration in AFFO growth was driven by a strong top line, and we also benefited from the pause in short-term interest rate hikes. We faced significant interest rate headwinds in both 2022 and 2023 that subsided last year with cash interest remaining relatively flat in 2024. Local and regional sales accounted for approximately 78% of billboard revenue in Q4 and similar to the same period in 2023 and growing for the 15th consecutive quarter. In fact, the first quarter of 2021 was the last quarter in which we saw a year-over-year decline in local and regional sales. A COVID-impacted quarter in comparison to the pre-COVID period a year prior in 2020. This consistent performance exhibits the resilience of our core local advertising business and differentiates the company from our peer group. Moving to capital expenditures. Total spend for the quarter was approximately $43 million, including $16.3 million of maintenance CapEx. And for the full year, CapEx totaled $125.3 million with maintenance CapEx comprising $52 million. As for our balance sheet, we have a well-laddered debt maturity schedule with no maturities until the term loan B in 2027. Last year, we used a substantial amount of our cash flow after distribution to repay outstandings under the Term Loan A and reduced overall debt by $136 million. We currently have approximately $3 billion in total consolidated debt and our weighted average interest rate is 4.6%, with a weighted average debt maturity of 3.8 years. As defined in our credit facility, we ended the quarter with total leverage of 2.83x net debt to EBITDA which remains amongst the lowest level ever for the company. Our secured debt leverage was 0.82x at quarter end, and we are comfortably in compliance with both our fillet and current and secured debt maintenance debts against covenants of 7x and 4.5x, respectively. As a result of the focus on our balance sheet, the company is well positioned to resume more normal acquisition activity with an investment capacity, well over $1 billion. In addition, we have the ability to deploy this capital while remaining at or below the high end of our total [indiscernible] range of 3.5 to 4x net debt to EBITDA. Our liquidity and access to capital remained strong as the company continues to enjoy access to both the debt and equity capital markets. As of December 31, we had just over $500 million in total liquidity comprised of $49.5 million of cash on hand and $457 million available under our revolver. As Sean mentioned, subsequent to quarter end, T-Mobile acquired 100% of Vistar Media, a company in which we had a 20% investment. Lamar received $115 million as consideration for the sale and we may receive an additional $15 million from escrow following certain post-closing conditions. Proceeds from the sale were used to repay outstandings under our revolving credit facility, and the current balance on our revolver is $119 million. The $130 million in total consideration is a return of over 4x our initial investment, and the company will recognize a taxable gain of approximately $100 million on the transaction. The Vistar investment was held within our taxable REIT subsidiary, and the gain is subject to federal and state income taxes prior to distribution to the REIT. As part of distributing funds to the REIT, plan to use a portion of the cash after taxes to repay intercompany loans from the REIT to the TRS. We also intend to utilize additional tax deductions at the REIT, which will further reduce our taxable income. As a result, we currently estimate our distribution requirement associated with the Vistar sale to be in $15 million to $20 million range and will likely be distributed in the form of a special dividend at year-end. In this morning's press release, we provided full year AFFO guidance of $8.13 to $8.28 per share, reflecting AFFO growth of 1.8% to 3.6% over 2024. At the midpoint of guidance, we expect top line growth of about 3%, and operating expenses should grow slower in 2024. As we did last year, we are assuming SOFR remains flat for purposes of cash interest and have included $152 million in our guidance. Our maintenance CapEx budget for the year is anticipated to be $60 million in 2025, which is $8 million more than last year. And finally, cash taxes are projected to come in at approximately $10 million. Yesterday, our Board of Directors approved a first quarter dividend of $1.55 per share and we expect to distribute a regular dividend of at least $6.20 per share in 2025. This excludes any required distribution resulting from the Vistar sale. On an annualized basis, the Q1 dividend represents a yield of 4.7% at yesterday's closing stock price. As a reminder, the company's dividend is based on taxable income subject to Board approval, and our dividend policy remains to distribute 100% of our taxable income. Again, we are pleased with our fourth quarter performance and the strong finish to 2024, and we look forward to executing on our strategy in 2025. And I'll now turn the call back over to Sean.
Sean Reilly: Thanks, Jay. I'll go through some of the familiar stats. I'll start with relative regional strength and weakness. Q4 was paced by our Northeast region, which came in at up 6.7% on the revenue side. relative weakness. Gulf Coast came in at up 3%. Interestingly, that is the complete inverse of what happened last year when the Gulf Coast paced the company and the Northeast was struggling [indiscernible]. On to political. Q4 political represented $14.5 million in our book for Q4. That compares to $2.9 million in Q4 of 2023. For the full year, political came in at $29.2 million, compared to 2023's $7.5 million. There's some unknowns as we think about replacing the impact of political, particularly in Q4, as I've said many times, political tends to break late. So we don't know how much of that $14.5 crowded out customers that otherwise would have bought the space. We also don't know how strong political is going to be this year. So that's a stay tuned in terms of our guidance. [indiscernible] on to number of digital units. We concluded the year with 4,994 digital units in the air. As compared to last year's year-end number, which was 4,759 or an increase of 235. As I mentioned, we anticipate significantly ramping our digital deployment this year and our stretch goal is something in the neighborhood of 375, let's say, at least 350. Same-store revenue was a good story in Q4, up 3.7%, again, paced by programmatic, which was up a little north of 30%. For the year, same board digital revenue was up 2.8%. And programmatic was up a little over 48%. For 2025, we're budgeting programmatic to be up, give or take, mid-teens and we're off to a very good start with programmatic. Local, national, Q4 national represented 22.1% of our book, local regional was at 77.9%, that's 1% up for local over Q4 of 2023, 1% down for national. Q4 though was a different story. National rebounded. Local regional was up 3.5% and national/programmatic was up 3.5%. As we move into Q1, as I mentioned, Q1 has got a difficult comp for us. It's not going to be up to the same degree as we anticipate the full year and national is give or take, flattish with sequential improvement, modest sequential improvement as we move through the year. Categories of relative strength, as I mentioned, service, Q4 up 10.7%, public service/government, up 13.7% and Building & Construction up 17.9% and categories of relative mention -- relative weakness, health care, down 6.6% and insurance down 5%. Well, that's it for our comments, we're happy to open it up for questions.
Operator: [Operator Instructions] We'll go first this morning to Cameron McVeigh of Morgan Stanley.
Cameron McVeigh: Amex good to hear the national ad spend, it's perking up a bit. Curious if that's driven by any specific vertical or if it's more broad-based? And in your view, what may be driving the turnaround there? And then secondly, the 2025 AFFO guidance was a bit below Street estimates. It seems to be a function of lower expected net income. And I believe you said you expect 3% acquisition-adjusted revenue growth in '25. Is that driving most of this? Or are you expecting higher cost anywhere, maybe ERP or corporate expenses? Any color there would be helpful.
Sean Reilly: Sure. So let's start with the AFFO question. So there are a couple of things that contributed last year that will not contribute this year. I would note we won't have the benefit of [indiscernible] net income this year -- and we also have -- as Jay mentioned, our remaining CapEx, a slight headwind to growth. The expenses, recall that we are in peak for our ERP conversion. So you see a continued expenditures until we get through our conversion we've been at around Q1 next year. And as we move into [indiscernible] and corporate expenses declined pretty significantly. So yes, I think those are the primary ingredients in growth, and of course, the guide. Q1 is going to be a little softer for us, and then we're going to accelerate as we move through the year. And then as I mentioned in Q4, right now, the [indiscernible] look quite nice. We do have to work diligently to replace those political dollars.
Jay Johnson: And Cameron, just to have a little color there between CapEx and the loss of Vistar, it’s about a $0.13 headwind. And – and then also, as you recall, we had muted acquisition activity last year. So if you look at – on a pro forma as actual basis, acquisitions are adding about 40 basis points this year and typically usual a little [indiscernible].
Operator: Thank you. We go next now to David Karnovsky at JPMorgan.
David Karnovsky: Sean, you [indiscernible] $150 million of potential M&A. I don't know if you could speak a bit to the pipeline right now. Should we assume that figure comprises service anything kind of more sizable assumed in there? And then I guess you pin the prepared remarks, but [ T-Mobile ], I don't know if you can that means for thematic .
Sean Reilly: Sure. So yes, the M&A pipeline we put out last year that we wanted to focus on retiring the term ad. And when that work gets out from Lamar, [indiscernible] thinking about selling. They say, okay, wait [indiscernible] so that is happening. Folks that now know that we’re at again are coming to an – and it runs the gamut of deal sizes. There’s some that are $2 million, there’s many that are in the $5 million to $10 million. And then we’ve got a couple that are in that sort of 40 or 50 range that we hope to pry lose. So it’s, in that sense, it’s a typical year of good Lamar tuck-in activity where we’re being active and aggressive. And then Vistar and T-Mobile. I’m really excited about it. It’s – T-Mobile is a very entrepreneurial company. They have an incredible brand. They understand marketing. They love out-of-home – they actually have a small position in an out-of-home business that actually has screens. And I think as they looked at the landscape of what’s going on with digital out-of-home and saw Vistar is the clear global leader. They jumped in, and they were aggressive. And I think that only bodes well. They have unique insights into consumer behavior based on the data that they have access to by being 1 of the nation’s premier cellular providers. And they also understand marketing. So I think it can only be good for the industry, which bodes well for us as the owner of the largest large-format digital network in the country.
Operator: We go next now to Daniel Osley of Wells Fargo.
Daniel Osley: When comparing your national growth to some of your peers, it looks like the recovery has lagged behind a bit. Can you help us unpack why that may be? And do you think there are any structural drivers behind the national weakness there?
Sean Reilly: Yes, Daniel, I think there's some truth to that. Part of it is the natural consequence of our footprint. National ad spend tends to be focused in the top 3 DMAs, particularly New York and L.A., where our footprint is not as robust as, say, OUTFRONT or Clear Channel. So that has a little bit to do with it. It is also driven by categories and how they recover. In particular, when you look at the recovery of the entertainment category, movie category coming out of the strike in the prior year. They tend to get much more of that business than we do. The entertainment category, in particular, focuses on L.A. And when you look particularly at OUTFRONT, they probably have the best distribution and outdoor footprint in L.A., and they tend to get more of those dollars.
Daniel Osley: That's helpful. And if I can sneak in a follow-up. On billboard yields, you've been running at pretty high occupancy rates across your board through the year. So I just wanted to hear how you view the pricing environment today and how you think about your ability to continue to drive price. .
Sean Reilly: Sure. Yes, that’s the case, Daniel. Virtually all of the gains last year were driven by rate, and we anticipate that that’s going to be the case this year. I would say, basically, we’re at peak occupancy. And given that, we have to drive rate if we’re going to hit our goals. .
Operator: [Operator Instructions] We go next now to Lance Vitanza at TD Cowen.
Lance Vitanza: I have two. The first is on CapEx. Can you hear me? .
Sean Reilly: Yes.
Lance Vitanza: First question on CapEx. I think you mentioned 350 to 375 digital conversions this year. Did I hear that right? And in any case, could you give us a sense for the expected cadence of that spend. And I noticed on the total CapEx line in 2024, we saw this big uptick in 4Q. Would you expect that pattern to repeat in 2025?
Sean Reilly: I'm going to say that the cadence of spend on digital is probably going to be sort of ratable through the year. We don't see any sort of spiked in terms of that deployment. There are a few things that are going to come our total CapEx to also increase this year. We've got some extraordinary CapEx in our logo division, which is hitting us this year. We are also -- we own something in the neighborhood of 130 buildings out there, and we have a little bit of extraordinary CapEx in building some new buildings and refurbishing some old ones. If I had to highlight anything that was sort of extraordinary, that would be it. And maybe Q4 elevated CapEx was related to hurricanes in -- so that might explain a little to Q4 of the last year.
Lance Vitanza: That's helpful. And then just back on the '25 guidance, [indiscernible], I'm trying to square that with some industry and trade sources, which are talking about more like 5% domestic out-of-home ad revenue spend growth this year. And you talk about having the best team in out of home, and I tend to agree. And yet, if I compare your projected growth relative to what Magna Global and others are saying, it just seems very conservative. And I'm wondering how we square that circle. Do you think that just -- are the Magna estimate is just too high? .
Sean Reilly: You could look to others, and they’ll have a different number. You also need to keep in mind that they’re looking at out-of-home very broadly defined. And there are some, for example, digital out-of-home screens that aren’t in our portfolio that are being deployed very quickly. I would highlight the retail television networks that are popping up seemingly everywhere. So that’s in their numbers, the recovery of cinema advertising is also in their number, which, again, that’s not in our portfolio. So that explains some of it. It’s sort of different portfolios. And then I would say also that, again, it depends on who you’re looking at. The number that I’ve been circling around is total out-of-home up between 3.5% and 4%. And again, there’s some portfolio differences as smaller screens recover, particularly, again, in sort of the transit space as well.
Operator: We'll go next now to [indiscernible] at Wolfe Research.
Unidentified Analyst: It's just another follow-up on the deployment of new digital signs. So you gave kind of your goal of 350, stretch [indiscernible] 375. What would you guys think about as the largest number of digital signs you could see rolling out in a year? And what do you kind of consider the limiting factor for the pace of static to digital conversions?
Sean Reilly: [indiscernible], good question. We’re pedal to the metal this year. So if we hit 375, we will have essentially deployed more in a given year than we have I think, ever. The gating issues are, number one, regulatory permitting. That takes time. It takes a lot of effort. We have to sit down with city leadership and make sure that they’re comfortable with what we’re doing and get fully permitted. And then these are construction project. We have to retrofit the structure and make sure that it can hold the extra way. We have to make sure there’s no supply chain issues holding up, getting digital units from our vendors. And then the crews have to be there on time, the power has to get hooked up. All that stuff that is engaged in a construction project. And so when you add it all up if we hit 375, we will have had a good year.
Operator: And there's no further questions at this time. So Mr. Reilly, I'd like to turn things back to you, sir, for any closing comments.
Sean Reilly: Well, great. Thank you all for your interest in Lamar, and we will talk again next quarter.
Operator: Thank you, Mr. Reilly. Again, ladies and gentlemen, that does conclude today's conference call. We'd like to thank you all so much for joining us and wish you all a great day. Goodbye.